Operator: Greetings. Welcome to Oshkosh Corporation Reports Fiscal ‘2019 Fourth Quarter and Full Year Results. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Patrick Davidson, Senior Vice President of Investor Relations for Oshkosh Corporation. Thank you. Mr. Davidson, you may begin.
Patrick Davidson: Good morning, and thanks for joining us. Earlier today, we published our fourth quarter and full year 2019 results. A copy of the release is available on our website at oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of GAAP to non-GAAP financial measures that we will use during this call and is also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months. Please refer now to Slide 2 of that presentation. Our remarks that follow, including answers to your questions, contain statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our Form 8-K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. All references on this call to a quarter or a year, are to a fiscal quarter or fiscal year, unless stated otherwise. Our presenters today include Wilson Jones, President and Chief Executive Officer; and Dave Sagehorn, Executive Vice President and Chief Financial Officer, both of whom you have come to expect from us. Also joining us for the first time on a quarterly earnings call, is John Pfeifer, our recently hired Chief Operating Officer. Please turn to Slide 3, and I'll turn it over to you, Wilson.
Wilson Jones: Thank you, Pat, and good morning, everyone. And to follow up on Pat’s comments, I'm happy to welcome John Pfeifer to the call. John brings a lot of expertise to the table, and you'll hear from him in a few minutes. Today, we're pleased to announce strong fourth quarter and full year results. Fourth quarter earnings per share of $2.17, was up 20.6% compared to the prior year’s adjusted earnings per share. And full year adjusted earnings per share of $8.31, was up 30.7% versus 2018. We've delivered 38% adjusted earnings per share CAGR since 2016. I’ll say that again. We’ve delivered 38% adjusted earnings per share CAGR since 2016. That's pretty good performance, and I'm proud of the efforts of all the Oshkosh team members, and our people first culture in posting such strong results. I'm also very proud to announce that last month, we were named to the Dow Jones Sustainability World Index, recognizing Oshkosh’s ongoing commitment to sustainable business practices. We’ve been recognized by many different organizations for strong corporate governance and sustainability over the last several years, but the Dow Jones Sustainability Index is the gold standard, and we're proud to be listed among this group of global leaders. Last quarter, we talked about mixed economic signals. That trend has continued and is reflected in our initial outlook for 2020. Today, we are announcing our 2020 earnings per share estimates, with a range of $7.30 to $8.10, which would be the third highest earnings year in our company's history. Dave will discuss our 2020 expectations in more detail. As I mentioned earlier, our team has been performing at a higher level, and our execution and operations are performing better than ever, as a result of our MOVE strategy and simplification efforts, which should allow us to deliver strong results in 2020, while also continuing to invest in the business. Additionally, the benefits of being a different integrated global industrial, provides us with a stable foundation, based on solid outlooks for our fire & emergency, defense and commercial segments. Please turn to Slide 4, and let's talk about the full year. I would characterize our performance in 2019 as strong execution in results in an uncertain environment. We successfully navigated the impacts of a volatile trade policy in tariffs, along with talk of an impending recession. We posted double digit percentage sales increases in our Fire & emergency and defense segments, and record sales of more than $4 billion in access equipment. Additionally, all three of the segments I just mentioned, delivered full year operating income margins of 10% or more. That's outstanding performance. The commercial team was on track for solid improvement in 2019 as well, until production was disrupted by a partial roof collapse in February. We continued our track record of disciplined capital allocation, returning more than $425 million of cash to shareholders through the repurchase of 4.9 million shares in ongoing quarterly dividends. We announced this morning that we are raising our quarterly cash dividend by 11% to $0.30 per share. This will be the sixth consecutive year that we’ve raised the dividend rate by a double digit percentage. Please turn to Slide 5 to begin the discussion for each of our business segments. I'll start it off with defense, and then turn it over to John, who will discuss our non-defense segments. Last quarter, our defense team received word that JLTV was moving to full rate production status, and we've been building off that success over the past several months. The team is working through operational excellence programs, as they ramp JLTV production, including incorporating the configuration changes we discussed earlier this year. The program is in great shape, and the team is being recognized for it. In fact, we just hosted senior Navy officials, including Secretary of the Navy Richard Spencer, who presented Oshkosh defense with the Bravo Zulu Award for delivering JLTVs to the Navy and Marine Corps ahead of schedule and on budget. On time, on budget and exceeding performance, are all hallmarks of our defense programs, and we're going to keep performing to those standards. JLTV continues to drive strong interest from the international defense community, with multiple countries planning to purchase this amazing vehicle. We participated recently in two important defense trade shows, DSCI in Europe and AUSA just two weeks ago in Washington DC. Our defense team reported strong activity and engagement at the shows. At AUSA, we displayed two new JLTV variant concepts that showcased our strengths as a tactical wheel vehicle leader. We continue to be confident that we will book JLTV international orders in 2020, for shipment to foreign allies beginning in 2021. We’ve previously talked about the two year US government budget deal that was hot off the presses in July. We also mentioned that the continuing resolution could still happen, and that is in fact what did happen, as President Trump signed the CR in late September, keeping the government funded until November 21. The timing of finalizing the government's 2020 budget will not, I repeat, will not have a significant impact on our 2020 outlook due to the extensive backlog we already have in place. Let’s turn to Slide 6, and I'll pass it to John to discuss our non-defense segments.
John Pfeifer: Thanks, Wilson, and good morning everybody. I'm proud to be part of the Oshkosh team, and happy to be speaking with all of you today on the call. Our access equipment team delivered strong results this quarter, with sales of just over $1 billion, contributing to the annual record sales that Wilson just mentioned. Full year sales were powered by North America and Asia Pacific, which were both up double digit percentages over the prior year. The catalyst for increased demand for access equipment in the Asia Pacific region is product adoption, which is driven by safety and productivity improvements on the job site versus previous work methods. The strong growth we've experienced in this region over the last several years, and positive outlook for continued growth, have led us to expand our operations in China. The team is expanding production capacity on its current campus, which we expect to be completed in the next year. Last quarter, we talked about a moderation in access equipment demand in North America and Europe. That slowing continued this quarter, and we expect it to continue into 2020. Orders and backlog for the quarter were down significantly due to the lower market demand and timing of order placement. We are generally hearing that customers plan to place their orders this year more closely to when they expect to need the equipment. This means we will likely experience timing differences throughout the year when comparing orders and backlog to 2019. The annual negotiations with the national rental companies are underway, but it's early and we'll have more insight into demand levels and order patterns for 2020 on our next earnings call. We continue to believe the long-term prospects for our rental customers, and the access equipment market, remain healthy. With that said, we expect lower but still historically high sales in the segment in 2020. And as the industry leader, we also expect to deliver solid financial results. Looking out beyond 2020, we know there is a lot of equipment that is coming up on seven, eight and nine years of age that will need to be replaced. We believe this fleet demographic will translate into strong replacement demand in North America, putting us on a solid path for 2021. We also believe will continue to benefit from a rapidly growing Asia market through 2021 and beyond. Please turn to Slide 7 for a discussion of the fire & emergency segment. Once again, fire & emergency led by example, as they delivered sales and operating income growth for both the quarter and the full year. In fact, they set new full year records for sales, operating income, and operating income margin. We've talked a lot over the past several years about the hardworking fire & emergency team, and their dedication to simplifying operations, sales order management, and the entire business process. The results are impressive, and provide a great roadmap across the company for yielding positive results. Under Jim Johnson's leadership, the fire & emergency team has been able to increase their operating income margins by nearly 1,100 basis points since 2013. In addition to the domestic municipal firetruck customer base, the segment benefited from increased US Air Force activity, as well as international shipment timing in 2019. We expect the Air Force business to be a driver of strong performance again in 2020. Orders were up solidly in the quarter, rebounding from a slight decline in the third quarter. For the full year, orders were up 10%, keeping the backlog at a high level. In fact, Pierce booked more orders in 2019 than they have in any of the last 10 years. Fire & emergency has experienced a slowdown in international orders recently, due to the impact of uncertain trade policy. Fortunately, higher domestic activity has helped offset the lower international order volume. Looking ahead to 2020, we expect flat to slight growth in the firetruck market in North America. We maintain a very positive long-term outlook for this business. Please turn to Slide 8 and we'll talk about our commercial segment. Our commercial team showed their resiliency, as they continued to bounce back from some weather related adversity that impacted production earlier in the year, and finished 2019 on a high note, with sales up nearly 5% in the quarter, led by our refuse collection vehicle business. Operations are back to normal, and the segment continues to focus on driving improvements through simplification initiatives. It takes time for the simplification benefits to be visible, and they've had to overcome some unexpected challenges that we've previously discussed, but I'm confident that they are re-gaining the momentum they built from 2018 into early 2019. We expect 2020 and 2021 to be key years in the further transformation of this business. We expect the refuse collection vehicle and concrete mixer markets in 2020 to be similar to 2019, at levels even with or slightly above long-term average for refuse collection vehicles and below long-term average for concrete mixers. We expect some choppiness within the year, however, as customers continue to monitor macroeconomic indicators, looking for clues to where the economy may be headed. That wraps it up for our business segments. I'm going to turn it over to Dave to discuss our 2019 results and outlook for 2020 in greater detail.
Dave Sagehorn: Thanks, John, and good morning everyone. Please turn to Page 9. We're pleased with the team’s strong finish in 2019. Consolidated net sales for the fourth quarter were $2.2 billion, a 6.7% increase over the prior year, led by greater than 20% increases at defense, as the JLTV production ramp continued, and fire & emergency, with both higher airport products and fire truck sales. Access equipment sales were down low single digit percent as expected. And commercial sales were up modestly, driven by higher RCD sales. We've included an updated rev rec standard chart in the slide deck again this quarter. This will be the last quarter that we include this slide though, as next year we’ll be reporting year over year results on a comparable ASC 606 basis. Consolidated operating income for the fourth quarter was $203.1 million, or 9.2% of sales, compared to adjusted operating income of $180.6 million, or 8.8% of sales in the prior year. We're pleased that the access equipment team was able to offset almost all the impact of lower volume, to deliver operating income at nearly the level of last year, and higher operating income margin. Favorable regional mix and lower freight costs, offset in part by higher marketing spending, were the primary drivers of the positive margin performance. Defense operating income in the quarter, benefited from the higher sales noted earlier. And while operating income margin was down compared to the prior year, due largely to the continued shift to a higher weighting of JLTV sales, fourth quarter operating margin was stronger than we expected, leading to a 10% full year operating margin. Fire & emergency delivered another quarter of operating income and operating margin growth, overcoming headwinds compared to the prior year quarter. And the commercial segment continue to rebound nicely from the partial roof collapse earlier in the year, delivering a second consecutive quarter of operating income margin above 7%. Favorable mix with a higher percentage of RCVs was the primary contributor to higher operating income margin versus the prior year. Earnings per share for the quarter was $2.17 compared to adjusted earnings per share of $1.80 in the prior year, a 20.6% increase. Higher operating income in the defense, fire & emergency, and commercial segments, along with lower corporate expenses and lower share count, accounted for the higher earnings per share. The fourth quarter benefited $0.15 per share as a result of share repurchases completed in the last 12 months, and we repurchased $66 million of Oshkosh shares in the quarter, achieving our full year target of $350 million of share repurchases. And we generated more than $400 million of free cash flow during the year. Overall, we're pleased with our fourth quarter and full year performance. Please turn to Slide 10 for a review of our initial expectations for 2020. We expect to deliver solid results again in 2020, even with the market for our largest segment, access equipment, projected to be down compared to 2019. The benefits of our end market diversity and operational leverage, are reflected in this outlook. Our expectations for 2020 assume that we continue to execute our MOVE strategy, including increasing our investment in new product development or NPD, and expanding access equipment production capacity in China, which has been that segment’s fastest growing market. On a consolidated basis, we're estimating sales of $7.9 billion to $8.2 billion, compared to 8.38 billion in 2019. We are also estimating operating income of $690 million to $765 million, compared to $797 million, and earnings per share of $7.30 to $8.10, compared to adjusted earnings per share of $8.31. At the segment level, we are estimating access equipment sales of $3.5 billion to $3.8 billion, a 7% to 14% decline compared to 2019. This range assumes sales declines in North America driven by a pause in fleet growth by rental companies compared to the last two, years and the EMEA region, partially offset by continued strong sales growth in the Pac Rim, reflecting expected continued product adoption in that region. We are estimating operating margin in the segment will be 11.25% to 12.25%. We expect lower amortization expense and the positive impact of operational initiatives, to partially offset the impact of the lower volume, less favorable regional mix, and higher new product development and investment. Turning to defense, we are estimating 2020 sales of approximately $2.2 billion, an 8.25% increase compared to 2019. The estimate reflects additional JLTV production, and modestly lower FHTV and FMTV sales. Backlog for 2020 was nearly $2.1 billion at September 30. So defense is largely booked for the year. We estimate the contracts for international JLTV sales that are currently in the works with other countries, will not be signed in time to recognize sales in 2020, providing opportunities for 2021. We are estimating operating margin in this segment, will be approximately 9%, consistent with our comments over the past several years of high single digit percent margins. Compared to 2019, the expected margin in this segment reflects the continued mix shift to a higher percentage of JLTVs, and increased NPD spending. We expect fire & emergency segment sales will be approximately $1.2 billion, roughly $65 million lower than 2019. The lower expected sales are mostly a reflection of what happened in 2019. There were $40 million of sales that moved from the fourth quarter of 2018, into the first quarter of 2019, and we did not see a similar shift at the end of 2019. We expect a continued flat to slow growth firetruck market in North America in 2020, and slower international activity, especially in Asia if the trade war drags on. We expect operating margin in the fire & emergency segment, to increase to 14.5 to 15%, offsetting the negative impact of lower sales and operating income. The fire & emergency team has continued to effectively execute its simplification strategy, and expects to realize additional benefits that will allow them to achieve the targeted margin range for 2020. We are estimating sales of approximately $1.05 billion in the commercial segment, up slightly from 2019, and consistent with what John described. And we're expecting a rebound in operating margin for this segment, to a range of 7% to 7.25%, after 2019 margins were negatively impacted by the partial roof collapse last winter. We estimate corporate expenses will be $150 million to $155 million, roughly equivalent to 2019. Below the operating income line, we estimate the tax rate for 2020 will be 21.25% to 21.5%, similar to 2019. And we are estimating an average share count of $69 million, which reflects the full year impact of 2019 share repurchases, and an expectation that we will return 50% of free cash flow to shareholders in the form of dividends and share repurchases, consistent with our long-term target. For the full year, we are estimating free cash flow of approximately $450 million, reflecting another year of strong cash generation. We also estimate capital expenditures will be approximately $150 million. This level of CapEx reflects continued investment in initiatives designed to drive long-term earnings growth and shareholder returns. Looking at the first quarter, we expect sales to be down mid-single digit percent compared to 2019, with lower access equipment and fire & emergency sales, more than offsetting higher defense segment sales. We expect commercial sales to be down modestly, reflecting some of the choppiness we expect on a quarter to quarter basis this year in this segment. We expect earnings to be down meaningfully more than sales on a percentage basis, due in large part to the impact in the prior year quarter of the receipt of a large JLTV order in the defense segment, which essentially doubled the units under contract, resulting in a large cumulative adjustment to margins on that program under ASC 606, and segment operating margin of more than 15%. The defense segment expects another large JLTV order in the first quarter of 2020, but they don't expect the cumulative adjustment impact to be as large as last year. Defense is also expecting higher R&D spend in the quarter. We expect commercial operating income margin, will also be down a larger percent than their sales decline, due to several favorable adjustments in the first quarter of 2019, that we don't expect to repeat again in 2020.
Wilson Jones: I’m going to turn it back over to Wilson now for some closing comments. Thanks, Dave. Another strong quarter and outstanding year, driven by our team's execution. We initiated our outlook for 2020, which includes expectations for solid results, as I mentioned earlier, would be the third highest earnings year in the company's history. We have the right strategy with MOVE, and believe we can manage these businesses to deliver impressive sales and earnings performance. And we believe we are investing in the right places to best position the Oshkosh Corporation for the future. I’ll turn it back over to Pat to get Q&A started.
Patrick Davidson: Thanks, Wilson. I'd like to remind everybody, please limit your questions to one plus a follow up. After the follow up, we ask that you get back in queue if you’d like to ask additional questions. Operator, please begin the question and answer period of this call.
Operator: Thank you. (Operator instructions). Our first question comes from the line of Neil Frohnapple with Buckingham Research Group. Please proceed with your question.
Neil Frohnapple: Hi. Thanks. Good morning. Congrats on the nice quarter.
Wilson Jones: Thanks, Neil
Neil Frohnapple: Starting with the access equipment segment, it appears the implied decremental margin for FY’20 at the midpoint of mid to high teens, is considerably better than how you performed in the last downturn. So could you walk through some of the drivers underpinning the margin outlook, customer mix, regional mix? I think Dave mentioned product mix would be negative, price comp, et cetera, just so we can get comfortable with the profit outlook for ’20.
Dave Sagehorn: Sure, Neil, and good morning. So overall, I would say, not only in access, but really the whole company overall, I think we're in a much better place than we were in 2016 when you referenced it. You look at the strength really in the non-access segments versus in, and I think it's very apparent that we're different. And even access, we're coming off of a much higher base. But overall, as you think about the decrementals for access in fiscal ’20, as we said in the prepared remarks, we've got a number of positive things there, one being lower amortization expense. So some of the purchase accounting amortization from the JLG acquisition is rolling off. That’s about a $25 million favorable item year over year. We've got operational initiatives, which really fall under the whole simplification category there. We’ve talked a lot about some of the improvement year over year, working with the supply base. We think we still have opportunities there, as well as things internally that we're working on that will help us. Offsetting those, as we mentioned, regional mix is going to be a little bit of a headwind for us. And then higher NPD as we continue to invest in the business. But I would say that our view really is, there's nothing heroic in here. A lot of things that we do have within our control that we think we can execute on to deliver the decremental margins that we’ve put out there.
Neil Frohnapple: Okay. That’s helpful, Dave. And then just wanted to ask about the margin outlook for the commercial segment for FY’20, 7%. I think you may have said 7 to 7.25. So I think excluding the roof collapse in FY’19, you would have been north of 7%, I believe. So could you talk about sort of why the margin outlook wouldn’t be higher for next year when also considering the simplification initiatives and the low single digit sales growth?
Dave Sagehorn: Sure. The biggest driver there is continued investment in the business. We talked about the higher NPD, and we're really seeing that across all of our segments. And then there are some other initiatives that they are undertaking to better position themselves for the future. So I think overall, we view this as a very good thing that we're investing for the long-term future of the businesses.
Wilson Jones: I think if you go back, Neil, to when fire & emergency started their journey, the first couple of years were slower improvement from a margin standpoint because of the investment that they made. And that's what you're seeing with commercial. They’re in the early stages of that continuing investment.
Neil Frohnapple: Okay. Thanks so much. I'll pass it on.
Operator: Our next question comes from the line of Jerry Revich with Goldman Sachs. Please proceed with your question.
Jerry Revich: Yes. Hi. Good morning everyone. You folks had really strong share gains in access equipment and in fire & emergency. Can you just talk about, are there any specific product lines or distribution initiatives that are driving the share gains? Can you just expand a bit more on your really strong performance and momentum in the market? Thanks.
Wilson Jones: Yes, Jerry. I think from a share gain standpoint, we've been focused targeting the segments that we see where we can grow profitably, and we're putting more resources to those areas. I think the refuse collection has been a good area for us. Fire & emergency with some of their continued introductions of the Ascendant and some variants of that, where we have a clear competitive advantage. Just continued innovation, products that we're introducing that give us that sustainable long-term competitive advantage. So I can’t point to just one really big thing, but the telehandler share was probably the one that maybe jumps out to you the most, and that was because we didn't have the capacity in ‘18 and we had it in ’19. So we gained our share back. But I guess, if you're asking, what is the biggest share gain? It would be back in telehandlers in ‘19.
Jerry Revich: Okay. And then in terms of the outlook in ’20 for the access segment, are there any share gains embedded in the topline outlook, because it looks like the order run rate exiting the year is a bit tougher. And obviously we had backlog come down over the course of ’19, as you delivered that strong telehandler backlog. So I'm wondering if you could just touch on any tailwind that we should be keeping in mind relative to market demand that's embedded within the topline outlook, considering what we're seeing appear to be more significant CapEx cuts out of the rental industry.
Wilson Jones: That's a lot, Jerry. I think the quick answer for you is that there's not any significant market share gains into our forecast. I think it's - we have some targeted conquest accounts that we - that you would see in our sales plan on a year-end based on an annual basis. But there's not any really large targeted market share gains. It's really working through our normal customer contacts and working through the markets like we do year in, year out. I don’t know, John, if you have anything you want to throw a bit.
John Pfeifer: Well, I’ll just - this is John. Just talking in general about the outlook for access in 2020, we've got a pretty robust forecasting process with the business, and we think we've got the right outlook for the year. We’ve modeled in a 15$ to 20% decline in North America in access, based upon what we're seeing in the marketplace. Still high neighborhood that we're in. we like the neighborhood that we're in. it’s just not going to be as frothy as ‘18 and ’19. We've got double digit declines we're forecasting in Europe, but we've also got double digit improvement or increases in Asia Pacific. And we think that this is right now the right outlook for 2020 for the business, and that leads us to the access forecast that you see.
Jerry Revich: Okay. I appreciate the discussion. Thank you.
Operator: Our next question comes from line of David Raso with Evercore ISI. Please proceed with your question.
David Raso: Good morning. Actually first, can you clarify that JLG amortization roll off of $25 million for 2020?
Dave Sagehorn: Yes. If you go back and look at the 10-K last year, David, it was - we put the next five years amortization numbers in there, and it was indicated that there would be a significant roll off.
David Raso: I guess I'm trying to understand the roll off. Is it just simply that it's been about 13 years since the deal, or is there something unique to that step down?
Dave Sagehorn: No. we had some of the intangible assets that had lives of 12 to 13 years, and they're becoming fully amortized.
David Raso: Okay. And regarding the comment, 50% of free cash flow to be returned to shareholders, just trying to figure out if there's some messaging there. The last couple of years, you've essentially used most all the free cash flow for dividend and repo. And even with the new repo, I mean, the new dividend rate of $0.30 a quarter, I mean, dividend is only about $80 million. So I'm just trying to square up A, why is it only 50%? And then B, the share count is assumed flat for the whole year when it looks like you should be able to take out 2.5% of the shares before creep. So I guess, is there that much creep? And again, why so low as a percent of free cash flow, given the net debt to cap is 11%, the net debt to EBITDA is only 0.4.
Dave Sagehorn: So if I missed any of your questions that were all embedded in there, David, please just remind me. But so the 50%, you've heard us talk over time about our capital allocation strategy. We’ve tried to take a disciplined approach with that. That target is returning 50% of our free cash flow to shareholders quote over the course of a cycle. And you're going to see that ebb and flow from year to year. The last couple of years have been significantly higher. You go back a few years and it was significantly lower than that. This is the initial guide for fiscal ’20. It's early and the 50% is right in line with what we've said, is part of that capital allocation strategy and approach. So we think that that makes sense at this time. We’ll continue to monitor that as we go through the year, and we can adjust as we deem appropriate with that. And then in terms of the share count, on a full year basis, our average for ’19, we were at 70.6. We’re guiding to 69. There will be some creep, and depending on the timing of when we repurchase shares in the year, right now the assumption going in is that we will purchase those shares evenly throughout the year. Again, that may change, depending on how we see things play out here during the year. But those are kind of the components that came into the whole calculation of share count for the year.
David Raso: I appreciate that. So again, the messaging here is in only 50% of free cash flow left in the last two years, going to dividend and repo because we're more acquisitive in our thought process for ’20. It's just simply the mechanical. We’ve said 50%. That’s the baseline, and we'll go from there …
Dave Sagehorn: Yes. It’s more the baseline. Yes. We were not intending to message one way or the other. We're going to continue to be opportunistic, and that may mean more or less share repurchases. That may mean we do look at external opportunities if they present themselves.
David Raso: All right. Thank you very much. I appreciate it.
Operator: Our next question comes from the line of Tim Thein with Citigroup. Please proceed with your question.
Tim Thein: Yes. Great. Thanks. Good morning. Just one question on defense. Maybe you can walk through some of the programs in terms of how they're expected to play out here in ’20. I was thinking that JLTV would be up order of magnitude 3 to 400 million based on what's been announced. So maybe you can just help us with some of the other puts and takes. I think - I thought the FHTV had some odds within the recent budget that should be helping you. But maybe you can just help give us some more color in terms of mediums and heavies and how those are expected to land here in ’20. Thank you.
Wilson Jones: Sure, Tim. As we said on the prepared remarks, we do expect continued sales growth in JLTV. That’s going to become a bigger percentage of the segment sales overall. And then along with that, we expect some modest declines in both the heavies and the mediums in terms of sales. And that's really in line with what we've seen out of the president's, or the DOD budgets the last several years. So I think it's really kind of consistent with what we've been saying for a while now, that JLTV continuing to grow, and moderation in the two other major domestic programs.
John Pfeifer: And that backlog is pretty well in place.
Wilson Jones: Yes. 2.1 billion of backlog for fiscal ’20. So that - we feel real good about how defense is setting up for the year.
Tim Thein: And again, I know it’s difficult to non-possible to forecast, but what is the team hearing from an international landscape in terms of MATV prospects?
John Pfeifer: Yes, Tim. We continue to hear good things from an international standpoint. I think you've probably heard us talk about Slovenia. We have a letter of agreement with them. Lithuania has a State Department approval. And just recently, Montenegro got the State Department approval. So start to see more activity from some of our European allies. We’ve talked before about our UK customer that has two variants that they're testing right now. We expect them to come with an order. We're not sure about the timing of that order at this point because they are testing. But several other countries in Europe and the Middle East, we've had a couple of good trade shows, and I would say the interest level is continuing to grow for our international GLTV.
Wilson Jones: Tim, I would just add that, I think we're overall confident that we are going to actually get some international JLTV orders in the backlog this year for sales starting in fiscal ’21. So it's taken a little while, but we're dealing with international customers, and that's probably not unexpected. But I think we're on the cusp of seeing some of this activity translate into actual purchase orders.
John Pfeifer: And I think the full rate production decision has helped push some of that along too.
Tim Thein: Got it. Thanks for the time. Thank you.
Operator: Our next question comes the line of Ann Duignan with JPMorgan. Please proceed with your question.
Ann Duignan: Yes, hi. Good morning. My first question is on the access business. You had imposed surcharges, not list price increases when steel prices rose. And I'm wondering, are customers now looking at requiring you to lift those surcharges now that steel prices are down? Or are those now embedded in list prices too? If you could just talk a little bit about the price cost environment and what your customers are asking of you.
Wilson Jones: Sure, Ann. First, I would say, I think you saw our pattern in ’19. Our teams were very disciplined with their pricing. It was important to cover our costs. Some of those costs were significant. So we're in discussions now with the NRCs, actually in discussions with all of our customers in the non-defense segments. I think the thing that you would hear us talk a lot about, and I'm not going to be too specific today from a competitive standpoint, but there are other factors and from an inflationary standpoint, than just steel. If you look today, in access they have the NC safety standard costs that are coming into play. I think all manufacturers are going through increase in labor cost with access to skilled labor being very scarce. Other non-steel material issues that we're working through, I think you probably know, we try to buy the majority of our steel in the US, but there are some components that we have to buy outside, and those are subject to some of the 301 tariffs, and we're working through those from an exclusion standpoint, and those are on the annual approval. So there is a lot involved in going into setting pricing. And because we are in the middle of negotiations right now, we're going to hold back on some of the specifics of what we're going into the market with, and probably talk more about those as we get farther into this year. But I would say the discussions are going well. Most of our customers, they understand that these costs are real, even though steel has moved down. There’s some significant move in another cost that we're dealing with.
Ann Duignan: Okay. I appreciate the color. And then on the backlog for access heading into fiscal ’20, does that - do orders have to reaccelerate before the end of this quarter for you to make your forecast? Or can we wait until we get into the spring? Is that kind of your expectation then, that we may not see large rental companies order until we get into some time around come forward? Just help me with the risks to the outlook on the access side.
John Pfeifer: Yes. Ann, this is John. I’ll start by answering that question. First of all, we've seen a big shift in timing with regard to orders. And probably the shift was really in ‘18 and ‘19 when things really change, and we're seeing it go back to normal. So some of the big orders that we would have gotten last year in the fourth quarter, we're expecting those orders at a later point in time. But if you really look at our backlog over the past few years, our backlog is very consistent with where it was say in the ’16, ‘17 period. So it's not an abnormal backlog right now. It's only abnormal when you look at it against the gigantic backlog that we had a year ago.
Dave Sagehorn: And then Ann, maybe, this is Dave, just to add a little color on that. so if you look at headline numbers in terms of fourth quarter orders and backlog, there are - it's very easy to see when we look into that, there were several larger customers last year that placed sizable orders in the fourth quarter, that are now placing those orders in the first quarter of this year. And so on a magnitude of a couple of $100 million. So if we look at the orders in the fourth quarter and try to do more of an apples to apples and kind of remove some of this timing issue, we think on a more pure basis orders, instead of being down 30%-ish, were down like 7.5% in the quarter. So I think that just kind of supports a little bit of what John was saying about some of the timing shift back to a more historical typical pattern that we've seen in the past. The other thing I would say is, we've got to remember, last year, the first quarter we had also a very strong order quarter. It was like over $1.5 billion, the last two years, again kind of talking about how those two years kind of stood out from what we had typically seen in the past. So as we go through this quarter, we’re going to see some timing benefits from some of those quarter customers that shifted from Q4 to Q1, but it wouldn't surprise us to see some of the larger customers move some of their orders out of Q1 and into Q2. So it's going to be a different year this year in terms of the order cadence in access. And I think we should all expect that.
Ann Duignan: That's very helpful color. And if I could squeeze in a real quick follow up on that. How big is Asia in access as a percent of total sales now?
Dave Sagehorn: It's nowhere near where North America and Europe is, but it is our fastest growing region. We've seen strong double digit growth there. And what I would say is, it is quickly becoming more relevant, and we expect that's going to continue into the coming years.
Ann Duignan: So is it 10%, 15%, 5%?
Dave Sagehorn: Today it’s less than 10%.
Ann Duignan: Okay. Thank you.
Operator: Our next question comes from the line of Seth Weber with RBC Capital Markets. Please proceed with your question.
Seth Weber: Hey, good morning guys. Actually following up on the Asia access question, can you just frame the size of the investment that you're making there, and kind of what that - what kind of capacity level you'll be at for that market? And then I guess, it sounds like - I think in your remarks or how you answered the question, Dave, it sounds like the margin profile from some of these faster growing markets may be lower than the more established market. So is that the right way to think about going forward, that Asia-Pac margins are going to be dilutive to access going forward? Thanks.
Dave Sagehorn: Sure. And so let's start with the expansion. I'm not going to get into the specifics, but from a production capacity standpoint, this is a significant increase from a percentage of production. So it's a meaningful expansion in the region, and we think it's warranted, given the growth we've seen there in the last couple of years, and given the outlook that we expect in the coming years. We're excited about the opportunities there. And then just overall on the on regional mix, yes, so North America is probably not surprising, is our best margin region in the world. If you think about some of the smaller international regions, one, we're still building infrastructure in Asia. So we're scaling that for growth that we expect there. So that's a little bit of a - going to be a drag on margins. We do produce a lot in-country, but there are certain things that we are still shipping over there from North America. And you've got logistics costs associated with that that you don't see in North America. So I think over time, you're going to see those - the margins in those regions moderate or increase and get closer to what we're seeing in North America.
Wilson Jones: Yes. Just to add a little bit. The SG&A is high there, because we're investing. It’s, as you know, a big country. So we're trying to work it. There’s five or six, what I would call very sophisticated rental companies that operate a lot like the NRCS in the US. And we've built good relationships with them and working closely with them. And one thing we really like about this market is, it's a heavy boom market. They don't have palletized loads in China. So a lot of booms use tower cranes to move materials around job sites. So potential down the road to develop telehandlers is still in front of us. So it's - we’ve started with booms, and we expect that down the road, that we’ll have some opportunity with telehandlers. So the dynamics of this market, if it stays on the pace it's been, it won't be that many years until the boom market is as big as Europe's boom market. So we like China. We like Asia Pacific.
Seth Weber: Okay. Thanks for that color. And then just a clarification. JLTV is still 4,000, 4,500 units. Is that still a good number to use for 2020?
Dave Sagehorn: Yes.
Wilson Jones: Yes.
Seth Weber: Okay. Thanks very much guys.
Operator: Our next question comes from line of Mig Dobre with Baird. Please proceed with your question.
Mig Dobre: Good morning everyone. Hello. I want to go back to access appointment. And I guess I'm just looking to understand your thinking and how you kind of assemble your revenue outlook for fiscal ’20. And I guess the framework that I'm using, what I'm looking at is, in fiscal ’19, you had $3.5 billion worth of orders. You've got, call it 400 million worth of backlog, but backlog obviously down about call it 600 million or thereabouts from the prior year. So when you're looking at fiscal ‘20 and you're talking about 3.5 to 3.8 billion of revenue, what are sort of the puts and takes here that get us to 3.8? And is it that we have to assume a flat market from an order standpoint versus fiscal ’19? Are you assuming some kind of re-acceleration? And if so, where would that happen? Because it strikes me, and correct me if I'm wrong, that when you talked about your outlook embedding the clients in North America and in Europe, that's really predominantly a factor of existing backlog, rather than future demand. So maybe correct me if I'm misunderstanding something, or shed some light here if you would.
Wilson Jones: I'll take off, Mig, and let John and Dave jump in. real broad question you're asking, but a good question in terms of okay, how do we build up our outlook for 2020? And John touched on some of it. It’s a very robust process and we review it on a regular basis to make sure that we are looking at the right assumptions. I think the first thing that we had to come to understand, is that ‘18 and ‘19 were anomalies. Those order years, we haven't seen, or years like that, that type of expansion. And in talking with our customers, I think you are hearing the same conversation we are. They see ‘20 as a good business year for them. But our categories of equipment, they expanded quite a bit, and we believe they're going to take a little bit of a pause with the level of buying that we're making. So if you go back to ‘16 and ’17, when we came into those years, you'd see a very similar backlog number that we have today. So the buying patterns in ’16 and ‘17 are very similar to what we've seen our customers go to today. There was capacity. Manufacturers were performing on time. And so lead times have come down, and our customers are comfortable now ordering within that quarter, and taking delivery of products in the same quarter. So it - there's a lot of - a lot more science to it than what I'm going to share with you on the call today, but I can tell you from an assumption standpoint, we don't look at this forecast as a big heroic forecast. Obviously on the high end of the guidance or lower end of the guidance, North America will be down 20%, double digits in Europe. But we do see construction needs. We see construction spending, and a lot of good commentary with our customers on what they are thinking about and looking for in this coming year. So there's a lot more build up to it than what I’ll go through on the call, but I can tell you, we've worked through this long and hard, and comfortable today with the assumptions we have with the guides we've introduced.
Mig Dobre: Okay. Recognizing that obviously this is a backlog business, and we're all kind of trying to figure out expectations for Q1 as well, how would you advise us to think about revenue here on a year over year basis and margin for Q1?
Dave Sagehorn: I think we commented during the prepared remarks, Mig, that we do expect lower sales in the first quarter. I think we're probably going to see sales down year over year pretty consistently throughout the quarters based on the early view that we have here. And obviously we’ll firm that up as we go. but this is going to be, as John's talked about, Wilson's talked about, orders are going to be coming closer to actually wanting the equipment. And ‘19 and ‘18 were a little different from that respect, going back to where we were prior to those two years.
Mig Dobre: Okay. But I guess what I'm trying to figure out here is, if we're starting with backlog that's down, call it 60%, should we be thinking that revenue in Q1 is going to be down 30, 40% on a year on over year basis?
Dave Sagehorn: No. we do not believe that. We believe it will be down in line with our overall guide for the year.
Mig Dobre: Okay. Last question for me is on the segment margin. The low end of margin of 11.25, I think somebody already asked about the decrementals, that they're relatively low, in the low 20s. Let’s just assume that there’s downside versus the low end of your revenue guidance. How do we think about any decremental on that additional revenue decline? Meaning, should decrementals accelerate, if for instance we're talking an extra 2000 to 300 million of revenue downside? How would you advise us to think on that?
Dave Sagehorn: I wouldn’t say - well, I would say - I would start with a typical decremental, which is, depending on the margin mix, the region mix, whatever it’s going to be, in the low 20s to mid-20s percent. And then if things get worse in the magnitude that you're talking about, I guess what I would say first off is, the magnitude that you're talking about is, we would look at is as a full blown recession based on what we've seen historically in this market, absent ’08 and ’09, and I don't think anybody's thinking we're headed there again. But I would start with that, like I said, low to mid 20%. And then if we get into a full blown recession, we'll take a look at what actions we can take to mitigate that and pull that decremental margin down. We’ll be responsible. This is something that would be timing. We aren’t going to sacrifice the long-term health and opportunity for this business overall. But we would work to mitigate that.
John Pfeifer: This is John, Mig. Just an additional comment on that. We do not see right now - we're not forecasting. We are not seeing with any of our customers a “downturn scenario.” It's more of a leveling before we start to grow again in ‘21 and beyond. That’s what we see in the market.
Mig Dobre: I understand. I just want to make sure that we stress test the assumptions here and everybody can kind of have something to work with if they want to think about the world a little differently than you. So I appreciate the color. Thank you guys.
Wilson Jones: Good question, Mig. Thanks.
Operator: Our next question comes from the line of Jamie Cook with Credit Suisse. Please proceed with your question.
Jamie Cook: Hi. I guess just a couple of follow ups on access. The 15 - the down 15 to 20% in North America, is that what your customers are telling you in North America, or do you have a different view than them? And then my other question is, is there - you talked about regional mix. I guess is there mix relative to booms versus telehandlers implied in your guidance? And then third, just color on the F&E margins, which are going to hold up very well again in 2020, despite sales which are off modestly or flattish. Just what your assumption is on sort of self-help simplification efforts. Thanks.
Wilson Jones: I'll start, Jamie, and then I’ll let Dave and John jump in here too. But on the access North America down 15 to 20%, this is our view. Obviously our customers are part of our view, but we take in a lot of other factors there that roll up our assumptions. So I wouldn't say it's - most of your customers are hearing the same commentary we are. They look at next year as a good year for them from a business standpoint. We just believe our category is going to be a little less than what it has been the last couple of years. On the regional mix, I’ll let Dave jump in on booms and.
Jamie Cook: Well, yes, I understand the regional mix. I'm just trying to understand if there's a favorable boom versus telehandler mix.
Dave Sagehorn: Yes. I think overall, Jamie, we don't expect a significant shift to telehandlers. We do believe we're going to be down, but then you have movement within the product category. So for example, within the telehandler family or within the boom family. So overall, it's the numbers have rolled together. We don't see a significant tailwind or headwind from a product mix standpoint.
Wilson Jones: And F&E margins.
Jamie Cook: Okay.
Dave Sagehorn: And in F&E margins, just a continuation of the simplification activities that they’ve been successfully executing over the past number of years. The team continues to be energized and engaged, and it's fun to watch them in action. I think they find new opportunities every day and challenge themselves every day and, they have high confidence in their ability to meet the outlook that we're providing for them for fiscal ’20.
Wilson Jones: And what's needed, our commercial team is running with that same playbook now. I think we're excited about what they're going to do with the same type of product placement things were going on with fire & emergency.
Jamie Cook: Okay. I appreciate the color. Thank you.
Operator: Our next question comes a line of Mike Shlisky with Dougherty & Company. Please proceed with your question.
Mike Shlisky: Good morning guys. To us - yes, thanks guys. You said on the last conference call that fiscal 2020 in access could be down modestly. Now looking at guidance here, at the midpoint, you were probably down about 10% down. So is that what you were thinking last quarter, or has your outlook for access improved or softened since August 1?
Wilson Jones: Mike, I think our outlook has evolved. The more conversations we have, the more data points we get as we work to roll up our guidance for the year. You get a little bit better with every meeting and every data point that's added. So we weren't calling a specific number back in the last quarter, other than we felt like it would be down modestly. And this is what we rolled up to now is what you're seeing today.
Mike Shlisky: Okay. And then secondly, I wanted to follow up on your last comment earlier on Jamie’s question about commercial volumes. I mean, clearly you've great on buyer 10 plus points of margin over the last couple of years. It's a different business of course, but can you give us an update on to - as to where you think you can get commercial margins as far as a number and a timeframe?
Wilson Jones: Well, our goal is always to be double digit margins with all of our businesses, Mike. This one is a little bit tougher in that they're dealing with commercial chassis. If you look at fire & emergency, the majority of their products were custom chassis, where they have much more value add available to them than say a commercial concrete mixer or refuse collection vehicle that's on a freightliner or mac chassis. So a little more challenging to get to that margin level with commercial, but we believe they can do it. And what you're seeing now is continued investment as they're carving their way and simplifying their business really around the 80/20 principals, we believe that they will start to gain momentum. Unfortunately, we had the event last February that slowed them down a little bit, but the last two quarters were good quarters for them, good execution by their team, and we expect that to continue. It's just going to - we haven't called the actual year when we'll get there, but that will be the goal for them going forward.
Mike Shlisky: Okay. Thanks guys appreciate it.
Operator: Our final question comes from the line of Ross Gilardi with Bank of America. Please proceed with your question.
Ross Gilardi: Thanks guys. Thanks for squeezing me in. A, I just wanted to know, these California power outages and the wildfires, obviously last year was - it was a huge wildfire issue. Is that become - has that become any type of like structural demand driver for your fire & emergency business, for any parts of your access business, for any part of the refuse business? I mean, is it - has it moved the needle at all?
Wilson Jones: Ross, it's moved it a little bit. I wouldn’t say anything significant. The fire example, we build wild land vehicles, but it's not one of our primary product lines. There has been cleanup with refuse collection. There has been pouring of concrete because of unfortunately the fire devastation. But I wouldn't say it's anything that has been a big needle mover for us.
Ross Gilardi: Okay, got it. and then just on access and inventories, just curious to hear your view on how you're managing production, how your inventories, how they looked at year end relative to history going into a softer demand year like this, and just what are you seeing competitively? Does it feel like there's just a lot of equipment out there from your competitors that needs to find a home?
John Pfeifer: This is John, Ross. I’ll answer the question. We - to put it very directly, we really don't need to take any extraordinary steps to manage inventory. We didn't make any big bets in the last year. So we're comfortable with the level of inventory that we have. And certainly production in 2020 for us is going to be lower than it was in 2019, as we get production in line with demand. But that lower absorption is factored into the forecast and guidance that we've got.
Wilson Jones: Yes. And I’d just add there, Ross, that you’ve watched us over the years. We manage our production levels on a weekly basis. And so we've been adjusting production since orders were slowing this past year. I think the things that our teams are really good at, is letting headcount go down with attrition. We look at managing overtime. We look at all the different factors that go into a product line that may be slowing down. We try to stay way ahead of that with our weekly management of our sales and inventory and operations planning process. And as John said, we've got that all factored into our guidance for 2020.
Ross Gilardi: Thanks very much guys.
Operator: Our next question comes from the line of Courtney Yakavonis with Morgan Stanley. Please proceed with your question.
Courtney Yakavonis: Hi. Thanks for squeezing me in. I just had a quick question to follow up on the comments about the robust growth in APAC on access, and yet in fire & emergency, you guys called out some of the trade policy impacting your international orders there. So I guess I just wanted to understand, why is there that different dynamic between the two segments? And if we can also kind of get a sense of where do you think the international orders in F&E are kind of being pent up and will come back when we have some resolutions, or if those are kind of going elsewhere, and also how big international was as a percent of F&E in 2019. Thanks.
John Pfeifer: Yes. It's a great question. First of all, in our F&E business, our business is highly weighted to the North American market, first of all. Having said that, our international growth is material to our business. And China for example is one of the largest export markets that we have in the F&E business when you look at it on an international basis. And because we're a primary exporter to China, that's why the trade war has hurt our business in China. I do believe there is a little bit of pent up demand there that we're not able to fill, that - and we hope for an easing of the trade conflict so that we can resume normal business and get that growth back. But that's primarily what's going on. Our access business produce is in China. So they’re a lot less impacted by the trade conflict that we’re seeing.
Dave Sagehorn: Yes. the other thing I would add, Courtney, on that, as you just look at the end customer, so the fire & emergency customer is typically a governmental entity, and the access equipment customers are commercial entities.
Courtney Yakavonis: Okay, great. That’s helpful. And then just on the new product development cost that you called out of about 25 million, how does that split between the divisions? I think you said that it's kind of higher across all the segments. And how does that growth year over year compare to your growth in NPD over the past couple of years?
Dave Sagehorn: As we said, it's all four segments that are going to sending more. From an absolute dollar standpoint, the segment with the highest dollar growth is going to be defense within that. And then in terms of the growth year over year, this is a - it’s a more meaningful growth than we have seen year over year in the new product development spend.
Courtney Yakavonis: Okay, great. Thank you.
Operator: Our final question comes from the line of Stanley Elliott with Stifel. Please proceed with your question.
Stanley Elliott: Thank you guys for fitting me in. quick question on the North American fire market. It sounds like it’ kind of flat, I think maybe up modestly. If I'm not mistaken, I feel like we're still fairly well off from kind of prior peak or kind of a higher level. Normal - I mean, is this the new normal that we're thinking about? I'm just trying to get kind of a framework to work with as we move even beyond this coming year.
Wilson Jones: We believe so, Stanley. At 4,500 or so unit market, we’ll see a little bit of growth here and there. But back 10 years or so, maybe a little farther than that, that market was 5,500. That’s when there was a lot of exports going on out of the US into the Middle East, and that really has slowed, and in most cases stopped with US fire trucks going that way. So we believe the new normal is about where it is now with some growth opportunities. Great, guys. Thank you very much.
Operator: This concludes our question-and-answer session. And I would like to turn the call back over to management for any closing remarks.
Wilson Jones: I just want to thank everyone for joining us today. We appreciate your interest in the Oshkosh Corporation, and look forward to speaking with you at a conference or on our next earnings call. Take care everyone.
Operator: This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.